Operator: Good day, ladies and gentlemen and welcome to the Third Quarter Fiscal Year 2015 Ocean Power Technologies Conference Call. My name is Trances and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call to Mr. Sean Severson of the Blueshirt Group. You may begin. 
Sean Severson: Thank you. Good morning everyone. Thank you for joining us on OPT’s conference call and webcast to discuss the financial results for the three months period ended January 31, 2015. On the call with me today are George Kirby, President and CEO; and Mark Featherstone, Chief Financial Officer. George will provide an update on the Company’s recent developments, key activities and strategies, after which Mark will review the financial results for the third quarter. Following our prepared remarks, we will open the call for questions. This call is being webcast along with our earnings presentation in our website at www.oceanpowertechnologies.com. The presentation material can be accessed through the Investor Relations section of our website. The website – excuse me – the webcast will be posted at www.oceanpowertechnologies.com for replay approximately two hours following the end of this call. The replay will stay on the site for on-demand review over the next several months. Before we get started, please turn to Slide 2 of our presentation where you notice – a notice regarding the use of projections or other forward-looking statements during this call as well as regarding future events or financial performance of the company within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are identified by certain words or phrases such as may, will, aim, likely resolve, believe, expect, will continue, anticipate, estimate, intend, plan, contemplate, seek to, future, objectives, goal, project, should, will pursue, and similar expressions or variations of such expressions. These forward statements are based on assumptions made by management regarding future circumstances of which the company may have little or no control and involve risks, uncertainties and other factors that may cause actual results to be materially different from any future results expected or implied by such forward-looking statements. Some of these factors include among others, the following future financial performance, expected cash flow, ability to reduce cost and improve operational efficiencies, revenue growth and increased sales volumes, success in key markets, competition, ability to enter into relationship with partners and other third-parties, delivery and deployment of PowerBuoys, increasing the power output of PowerBuoys, hiring new key employees, expected cost of PowerBuoy products and building customer relationships. Please refer to our most recent Form 10-K – excuse me, 10-Q and 10-K, and subsequent filings with the SEC for a further discussion of these risk and uncertainties. We disclaim any obligation or intent to update the forward-looking statements in order to reflect events or circumstances after the date of this earnings call. And with that, I’d like to turn the call over to George to begin the discussion. 
George Kirby : Thanks, Sean. Good morning everyone. Although I’ve already spoken with many of you on this call, I want to take a moment to introduce myself. I joined OPT as CEO at the beginning of this year and I am excited about the prospects of our technology applications in our chosen markets. We’ve performed an in-depth review of the company’s operations, strategy and commercialization initiatives, and I am very enthusiastic about the opportunities ahead of us. I am looking forward to working with our customers, the OPT team, and shareholders as we transform our company into a leading energy technology company. Let’s begin with Slide 3, as I’d like to review some of the recent developments at OPT. First, I am excited to say that we have three PowerBuoy deployments planned for calendar year 2015 and I’ll be providing more details on this later. Additionally, we’ve made significant progress on the redesign of the APB-350. The new Power Takeoff design or PTO is lighter weight, it’s less expensive and we believe more durable. In addition to our Ocean deployments, our plan is to demonstrate durability using a Highly Accelerated Life Test or HALT, which is scheduled to begin in May. Other recent highlights include significant works on the Mitsui engineering and shipbuilding contract. As a reminder, this contract is undergoing a stage-gate review and we more fully describe this in the MD&A section of our latest 10-Q. Lastly, we received $1.1 million through the New Jersey Tax Certificate program. This cash infusion will be used to help offset our product development cost and company operations. Moving to Slide 4, I’d like to provide a little additional color around our planned PowerBuoy deployments. We recently completed the relocation and reassembly of the PB40 PowerBuoy in Bayonne, New Jersey. From a timing perspective, we expect the PB40 to be fully tested and ready for deployment later this month and it will be our first in calendar 2015. Actual deployment is expected to occur as soon as final permits are received and an acceptable weather window opens. The PB40 features our modular PTO, which can be scaled for Buoys of various sizes and a range of power outputs. Furthermore, several of the PB40 components and subsystems are common to our APB-350 PowerBuoy and we expect that the PB40 deployment will further validate critical design and performance parameters related to the ongoing APB-350 optimization. The second expected deployment is our optimized APB-350 PowerBuoy. What I’ll tell you is that this device is a strategic fit for us as we believe that we remain well positioned to capitalize on the growing market for off-grid power production at smaller scales. We are excited about our next-generation APB-350 we refer to it as A1. We expect to deploy this prototype in the summer of 2015. A1 will utilize the existing Buoy structure deployed in 2013 and will include a newly designed PTO and upgraded components. Our third planned 2015 deployment will be the APB-350A2. This unit is being designed with an optimized geometry for improved operating efficiency, as well as reduced fabrication, transportation and deployment cost. Our plan is for A2 is to also incorporate and improved energy storage system and to undergo a preliminary design review in the second calendar quarter of 2015 with a planned deployment in late 2015. Turning to Slide 5, I’d like to discuss the key strategic shifts we are making at OPT. After conducting a comprehensive review of our technology, our markets and opportunities, we believe the highest return opportunity for our technology is in smaller scale applications, which offers a number of benefits versus largest utility scale power projects and we will better serve our company and our shareholders. We believe this will result in a more manageable technical roadmap with more near-term deployment opportunities and better risk and cost management. We also believe this strategy gives us a more cost competitive solution and as a result will lead to faster commercial revenues. There are four key market segments which we are targeting, Ocean Observing, Offshore Wind, Defense and Security, and oil and Gas. To help you better understand how our technology functions in these markets, I’d like to provide you with two examples. Let’s start with the Ocean Observing industry. There are several thousand systems deployed today collecting various meteorological and ocean data to support weather monitoring and prediction and to support studies in climate change and maritime operations. This data is also important to Defense and Security as well as the Oil and Gas industries, which must design, build and operate structures that endorse this harsh ocean environment. These systems predominantly use battery and solar power, which lasts from three to 12 months before requiring service. Ocean Power Technologies’ PowerBuoy system is intended to provide these industries with significantly more continuous power than it’s commercially available today for autonomous applications and with what we expect to be a substantially longer service interval, thus enabling new or enhanced data collection opportunities. The Offshore Wind industry is also very exciting for us. It requires substantial data to determine ocean environment and wind resource conditions for turbine design and layout, power generation prediction, and for financing purposes. Wave powered mobile monitoring system is a redeployable asset for use across multiple projects during early-stage development or it’s advantageous during the entire project life cycle for monitoring and correlation of project output to the wind resources. So we see significant opportunities in this market in the UK and there is already growing potential here in the US as well as Asian markets. Moving on to Slide 6, as mentioned in our recent public announcements, we have carried out a strategic pivot. We are shifting our focus toward what we believe to be a faster path to commercial revenues with lower technical and manufacturing risk and a lower and more attractive overall cost. We are moving away from large utility scale project development to address the needs of autonomous remote applications as our first priority. We believe that our products and technologies will offer disruptive and enabling advantages such as reliable, persistent power supply, reduced maintenance and support, competitive economic value, and multi-sensor capabilities, given increased power and enhanced interface and packaging compatibility. As previously mentioned, A1 is anticipated for deployment this summer demonstrating what we expect will be our commercial-ready PTO system. A2 deployment is expected later in 2015 and we expect this to demonstrate our commercial-ready structure. The goal of these efforts is to help us validate the reliability, sea worthiness and manufacturability of the APB-350. Also discussed earlier, we are preparing to deploy our PB40 when permitting and weather allows and in addition to incorporating our modular PTO technology, the PB40 includes various components and sub-systems that are used to on-board the APB-350. So this deployment will provide additional important data related to performance risk of the 350 as well as critical information related to the scalability of our technology in general. I’ll now turn it over to Mark who will review our financial results in the quarter. Mark?
Mark Featherstone: Thanks, George, and good morning everyone. I will now briefly review results for the third quarter before we go on to questions. Turning now to Slide 7, revenue in the third quarter of fiscal 2015 of $0.3 million increased $0.1 million from the same period last year. The higher revenue in the quarter reflects the increased billable work under the current phase of our project with Mitsui Engineering and Shipbuilding or MES. As George noted, the MES project is currently undergoing a stage-gate review, which is further discussed in the MD&A section of our latest Form 10-Q. The net loss for the three months ended January 31, 2015 was $2.2 million, as compared to a net loss of $0.8 million for the three months ended January 31, 2014. The increase in the company’s net loss year-over-year primarily reflects increased product development cost associated with our PB40 PowerBuoy prototype that we intend to deploy off the coast in New Jersey and increased cost with the next-generation of the prototype APB-350. In addition, cost related to consulting fees and patent amortization were also higher. These increases were partially offset by decreased site development expenses related to our terminated project in Australia. The increase in net loss was also a result of the decrease in income tax benefits compared to the prior year and losses on foreign exchange. For the nine months ended January 31, 2015, OPT reported revenue of $3.6 million, as compared to revenue of $1.1 million for the nine months ended January 31, 2014. The increase in revenue year-over-year is primarily due to increased billable work for the removal of the anchoring and mooring equipment from the seabed off the coast of Oregon, increased billable work under the current phase of our project with MES and the completion of our WavePort contract with the European Union. These increases were partially offset by decreased revenue on other billable development projects. The net loss for the nine months ended January 31, 2015 was $9.9 million, as compared to a net loss of $7.9 million for the nine months ended January 31, 2014. The increase in the company's net loss year-over-year primarily reflects increased estimated project costs associated with our contract with MES, increased legal fees, as well as higher consulting and patent amortization costs. These increases were partially offset by decreased product development costs due to the substantial completion of our cost-sharing contract with the US Department of Energy or DOE, for our Reedsport project in Oregon. In addition, there were decreased costs associated with other internally funded development projects, in addition to lower employee-related costs and decreased site development expenses related to our terminated project in Australia. Turning now to our balance sheet on Slide 8. Total cash, cash equivalents, restricted cash and marketable securities was $20.5 million, as of January 31, 2015 compared to $19.6 million as of January 31, 2014. With that, I’ll turn it back to George before we open up the call for questions. 
George Kirby: Thanks, Mark. Let’s turn to Slide 9 please. In summary, we are focused on the smaller scale off-grid wave power with what we believe are significant opportunities in our target markets. In the third quarter, we further increased our technical capabilities with additional engineering resources to help us accelerate our product development and commercialization with a continued focus on reliability, durability and life cycle costs. We have three deployments planned for calendar year 2015 to validate these criteria and we believe that our accelerated life testing will provide additional conference – excuse me – confidence in our PTO design. We continue to believe that we have strong growth prospects in front of us, key markets include Offshore Wind, Oil and Gas, Defense and Security and Ocean Observing. And these markets continue to benefit from long-term growth trends. We believe our solutions will play a critical role just as our market engagements are currently confirming there are significant interest in off-grid autonomous power applications. We want to thank you for your support and time today and operator, we are now ready to take questions. 
Operator: Thank you. [Operator Instructions] Your first question will come from the line of Amit Dayal from H.C. Wainwright. You may begin. 
Amit Dayal: Thank you, good morning. Could you talk a little bit about the cash burn that you expect for the next few quarters? 
Mark Featherstone: I think as you saw in our 10-Q, we’ve indicated that we have sufficient cash on hand to fund operations through the first calendar quarter of 2016. I think if you look historically for the last quarter, our cash burn was running around $1 million a month. So, without being specific to going forward, but I think that’s the reflection of the approximate ballpark. 
George Kirby: Yes, Amit, this is George. I’ll also mention that, as you know our business is a product development business at the moment and that tends to be a bit lumpy as we incur costs around deployments and actually launching these products. So, as you are deploying together your models you might want to also keep that in consideration. 
Amit Dayal: Right, that’s what I was trying to get at, as deployments start ramping up as you start getting closer to maybe even doing some filing, does the – obviously the cash burn will probably start increasing at that point. Do we have a sense of – like what those levels would be on a quarterly basis at this stage or is it too early to kind of speculate on that side? 
George Kirby: Yes, we only provide cash flow or revenue forecast on a quarterly basis, but, there are some – as George mentioned, some lumps of cash burn that occur around deployments or construction of prototype Buoys. 
Amit Dayal: Got it. You’ve identified these new markets for – of these opportunities for smaller sized or the smaller size autonomous Buoys, are we in discussions – where are we showing the product the technology, et cetera to potential customers? 
George Kirby: Amit, really, it’s in – it’s really in all of those markets right now. We are talking to Offshore Wind, we are talking to Ocean Observing, we are looking at Oil and Gas opportunities. Really what we want to do is, we want to bring customers into the product development process upfront and partner with them. That brings us the voice of the customer. It enables us to understand what sensor integration is required. We think that it will ultimately result in a better product. So we are trying to engage customers – potential customers in all of those markets right now. 
Amit Dayal: Got it and just last question, I guess, on the income tax benefit that you received, is this one-time benefit for the fiscal year for 2015 or is this something that you could potentially apply for again and benefit from next year as well? 
Mark Featherstone: Yes, we’ve actually been very fortunate on that to be able to qualify for that New Jersey program for a number of years and have realized that benefit of over $1 million a year for the last several years. So, while, nothing that’s ever guaranteed, we are hopeful to be able to participate in that program going forward as well. 
Amit Dayal: Okay, got it. Thank you guys. 
Mark Featherstone: Okay, thank you and we appreciate your questions. 
Operator: [Operator Instructions] And we have no questions in queue, I’d like to now turn the call over to Mr. George Kirby for your closing remarks. 
George Kirby: Thank you, operator. So, look, we are very excited and very optimistic about the future. We are laser-focused on advancing our products to commercial status on achieving our three deployments in 2015. We recognize that we have challenges in front of us. But we are fully committed and engaged to drive the business to success. I am extremely proud of our team. Our progress to-date has been phenomenal and our prospects for the future are equally phenomenal. So, with that, I want to thank everybody again for joining the call, and thank you. Have a good day.